Operator: Good day, everyone. And welcome to the MarineMax 2012 Fiscal Third Quarter Earnings Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Brad Cohen. Please go ahead.
Brad Cohen: Thank you very much, Operator. Good morning, everyone. And thank you for joining this discussion of MarineMax’s 2012 fiscal third quarter results. I’m sure that you’ve all received a copy of the press release that went out this morning, but if you have not, please call Linda Cameron at 727-531-1700 and she will fax or e-mail one to you directly. I would now like to introduce the management team of MarineMax, Mr. Bill McGill, Chairman, President and Chief Executive Officer; and Mr. Michael McLamb, Chief Financial Officer of the company. Management will make some comments about the quarter and then will be available for your questions. Mike?
Michael McLamb: Thank you, Brad. Good morning, everyone, and thank you for joining this call. Before I turn the call over to Bill, I’d like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include but are not limited to the impact of seasonality and weather, general economic conditions and the level of consumer spending, the Company’s ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I’d like to turn the call over to Bill.
William McGill: Thank you, Mike, and good morning, everyone. In our historically largest quarter of the year, our team's effort resulted in revenue of $151 million and $4.6 million of earnings for the quarter. Although we had a slight year-over-year reduction in total revenue, we had a positive same-store sales growth as we operated fewer stores in the quarter than a year ago. It is also important to recall that last year we had an exceptionally good June quarter partially fueled by larger boat sales, which drove the same-store sales growth of over 33%. During the current quarter, we were reminded that then industry's recovery can be choppy when negative headlines strain consumer confidence as we have seen from the ongoing European issues and to a degree, a political banter, which creates pause for customers. But at the same time, the fact that we have positive same-store sales growth supports the mounting evidence that the industry is indeed improving. I'm extremely proud that we grew earnings over 37% on slightly less revenue as we once again were able to produce greater growth profit dollars on basically flat revenues. We are also able to reduce expenses on a year-over-year basis. The structural changes we implemented as we emerged from the depths of the recession are really paying off. As we have said many times, the 53 stores that we operate today did over a $1 billion in revenue in 2006 and 2007. As such, we are achieving leverage from our fixed costs. This combined with our relentless focus on costs, which do not negatively impact our customers experience with MarineMax, is allowing us to improve our earnings at given revenue levels. We have stressed that we are focused on managing the areas of the business that we can control like our higher margins businesses and expenses. Part of our gross profit growth came from the continued incremental growth we are seeing in service, parts and accessories, financing insurance, and brokerage. Interestingly through June, our gross margin percentage is the highest it has been in the history of MarineMax. I attribute this to the improving product margins and our team efforts at growing the higher margin businesses. During the quarter, the brands which we had expanded with continued to help drive unit growth. However, our average unit selling price dropped somewhat in the quarter due to what we believe is the timing of larger yacht sales. The quarter also saw a generally improving industry reports adding further support to the recovery. Most of the reports focused on improvements in aluminum and small fiberglass outboard boats. However, I wish to point out that the core products that we sell, Stern Drive and inboard pleasure boats, are still challenged, albeit these customers are actively boating, and pent up demand is increasing. Industry data is mixed but would point to a decline in Stern Drives for the quarter to basically being flat. Unfortunately, accurate data won't be available for about 90 days. This is one of the reasons we have diversified into segments of the industry that are doing better, like we're beginning to grow our aluminum and our outboard power products. I am pleased that we are profitable for the nine months ending June. This is the first year since 2007 that we've been able to say that. The great news is that we still have greater margin upside opportunity when the margins on our boat sales returned to historical levels. We are still approximately 75- 100 basis points below our historical levels. As the industry continues to recover, and as the recovery broadens to include all segments of the industry, we believe our structure, our team, and our retailing strategies, will allow our earnings to accelerate. With that overview, I'll ask Mike to review the quarter in more detail. Mike?
Michael McLamb: Thank you, Bill, and good morning again, everyone. Before I go through the quarter, I also want to thank our team for producing strong year-over-year earnings growth. It's really great to see. For the three months ended June 30th, 2012, our revenue decreased slightly to $151 million. The decrease is because we closed stores on a year-over-year basis. We did have a slight increase in same-store sales growth. We also again grew our unit sales for the seventh consecutive quarter, albeit certainly less than last year. As Bill mentioned, we had a very strong quarter last year with over 33% of same-store sales growth while the industry was down double digits. Accordingly, we were up against a very tough comparison. In contrast, to the September quarter we are now in, that's slightly negative growth last year, which in theory would imply we have an easier comparison in the current quarter. On a smaller revenue base, we generated over 3% increase in gross profit dollars. Gross profit as a percentage of revenue increased to 26.6% in the quarter, up over 100 basis points from last year. The increase in gross profit as a percentage of revenue was primarily the result of higher margins on new and used boat sales generally across all product segments. The increase in our higher margin businesses also added to our overall margin expansion. As Bill mentioned, we believe we still have upside in the product margins as they gradually return to historical averages. SG&A expenses decreased to $34.7 million for the quarter. Consistent with other recent quarters, we are seeing the benefits from the leverage in our fixed costs. We also continued to take a rifle approach at all expenses and have seen reductions in marketing as well as items like inventory maintenance given the improving age of our inventory. It's great to see gross profit dollars grow while expenses fall. Interest expense increased to approximately $1 million for the quarter as a result of the increase average borrowings given our inventory levels throughout the quarter. Moving to income taxes. The Company had no material income tax benefit for the quarter compared to a tax benefit of $333,000 last year. Our effective income tax rate will remain essentially zero until the Company returns to sustained annual profitability. Net income for the third quarter increased over 37% to $4.6 million or $0.20 per diluted share compared to net income of $3.3 million or $0.15 per diluted share last year. For the nine months, I will be brief and comment that the trends in the quarter also exist for our year-to-date performance. We have grown gross profit dollars by about 12% with only a 1% increase in expenses. As such our earnings are much better and we are profitable for the first nine months. It's nice to see the leverage we've obtained. Now, on to our balance sheet, at quarter end, we had approximately $33 million in cash, an increase of 23% compared to last year, but as I've commented before on these calls, our cash balance is a function of how much we leverage our inventory. We have substantial cash in the form of unlevered inventory in addition to our debt-free real estate. Our inventory quarter end was $199 million, down 3% from the March quarter, and the aging of the inventory continues to improve. Inventory has decreased 1% year-over-year, which is good considering the new brand we've expanded with over the last year. We feel pretty good about where we stand with inventory, especially with the industry's improved ability to adjust orders if trends require it. Our short-term borrowings were up about $6 million year-over-year, due to the timing of borrowings and repayments. Following the close of the quarter, we also completed an extension of our credit facility that provides for up to $30 million for floor-plan financing for our asset product line. Our balance sheet continues to be strong and robust. We ended the quarter with the current ratio of 1.67, and total liabilities to tangible net worth ratio of 0.79. Both of these balance sheet ratios remain very strong and comfortably within compliance of our debt agreements. Our tangible net worth is over $200 million. While I'll repeat this often, a few key points should made. We own over half of our locations, all of which are debt-free. The majority of these locations are waterfront or on high-traffic roads. Our focus continues to remain on outperforming the industry and gaining market share, while managing the areas of the business we can control. We continue to look forward to the recovery of the economy, an improving consumer confidence, and a broadening marine industry recovery. Before I turn the call back over to Bill, I wanted to comment about current trends. With one week to go in the month, July will exceed last year's July. Having said that, I do need to caution that as we emerge from these difficult years, we have certainly seen choppiness in the recovery, and we have a lot of work to do before the current quarter ends. I will now turn the call back over to Bill for closing comments.
William McGill: Thank you, Mike. Our solid June results and our return to profitability through the first nine months of the year provide us with the confidence that we are making the right decisions, and correctly positioning the company to benefit when an economic turn emerges and is sustained. However, our industry is finally starting to see some positive data points emerging. We are convinced that MarineMax will be the direct beneficiary as the industry trends continue and they broaden. I would like to reiterate that all of our cost-cutting efforts and repositioning will truly drive future cash flows and earnings. The earnings power in the company is growing, as we have focused more on the segments of the business that we can control. As sales continue to rebound and return towards historical levels, we are confident that MarineMax will produce strong operating cash flow and meaningful earnings per share growth. We will continue to focus on pursuing select opportunities that are accretive and strengthen our presence in key markets. We have the financial strength flexibility to expand our presence and the MarineMax brand. Customers are returning and it is our job to enhance the time they spend on the water. Our passionate team is committed to differentiating MarineMax and will continue to pursue and execute on our strategies of teaching our customers, servicing them, and showing them how to maximize their enjoyment of boating with MarineMax. The result will be happier customers and enthused clients, who will continue to help us increase our share in the market, while building on our customers' passion for spending quality time connecting with their family and friends through the great activity of boating with MarineMax. We do understand that boating changes people's lives, like it as for Mike, as for mine. With that, Operator, we'll open it up for questions.
Operator: Thank you. (Operator instructions) We'll go first to Jimmy Baker with B. Riley & Co.
Jimmy Baker: Hi, good morning.
William McGill: Good morning, Jimmy.
Jimmy Baker: First, just to clarify, in your prepared remarks regarding the timing of yacht sales, is that in reference to large yacht sales that slipped into Q4?
Michael McLamb: Well, the comment relates to, if you look at last year's June quarter, we had a higher AUP than we have this quarter average unit price, because we closed some yachts into that quarter. But overall, we're not concerned about the Yacht business because of what's booked to close into the future, whether it's Q4 or even Q1 of next year. Sometimes with yachts, it has to do with the timing as to when they close.
Jimmy Baker: Okay, that's helpful. Look, you guys have been doing this a long time, and you've seen the ups and downs. I just can't recall ever seeing a divergence like we've seen this year or this selling season with regard to how strong the low end of the market has been, and yet how relatively weak the high end Express Cruiser yacht market continues to be. I'm just interested to hear what you see as a catalyst to kind of get that high end of the market moving again, which can be a really critical source of revenue for you.
William McGill: Well, Jimmy, first of all, if you look at the Sport Cruiser and Sport Yacht business, fiberglass Stern Drive inboard business, what we are seeing is that consumers are still out there boating, so that hasn't really backed off at all. What we believe has been going on more than any other thing is that a lot of those consumers are business owners, and they're reluctant to make a move right now because they're concerned about what's going to happen come this election year, is what we hear from our customers. Mike and I were up at Nantucket with a bunch of our Azimut customers, and great event. We had about 30 customers with boats there and everybody having a great time. The message we kept getting from a lot of our customers is they're concerned, as it relates to their business and with what's going on today. I think that's the thing that's going to really make a difference as we go forward. But in a lot of cases, that consumer that buys our sport cruisers and sport yachts is a business owner and has been impacted significantly with what's been going on, is worried about ObamaCare and all these other things that are going on. But the good news is they're out there boating. Our Getaway events, as I've mentioned many times continue to be filled up and doing very well, and so they're enjoying the lifestyle of boating. It's just they're cautious right now.
Jimmy Baker: Okay, and then I just have a question on your inventory. I'll back out. Inventory actually down year-over-year despite the deposited comp, I would have thought that you might need a little more inventory to expand coverage of higher AUP lines like Azimut. How should we be expecting that inventory number to trend going forward? I know it's seasonal, but should it roughly track with your comp trends from here.
Michael McLamb: You know what? Honestly, what we're focused on is improving our turns. The industry turn levels dropped to historic lows, as did ours for MarineMax, and what we're trying to do is to get our turns improving. This year when the year end is up, we're probably going to be someplace north of 1.5 times, which is low for us, and we need to get that closer to two, and then even above. So, we would like to see inventory levels not necessarily growing in line with same-store sales growth, but getting the turns to improve. There's a balancing act there between the manufacturers producing on a timely basis, and that's getting the boats in and getting them to the right places and selling them. Based on our market share and what we have seen through the, I guess I'll say the published market share through the 12 months ending March, we're doing really pretty decent on market share, which would indicate the inventory levels have probably been fine for the market demands. Based on our intelligence that we're getting in the June quarter, I'd say the same thing is holding through in the June quarter as well. So, we're working on turns, and ultimately that will help the company become even more profitable as well.
Jimmy Baker: Okay, appreciate the color. Thanks, guys.
Operator: We'll go next to Greg McKinley with Dougherty and Company.
Greg McKinley: Yeah, thank you. You guys mention on the prepared remarks that you feel you have an opportunity to continue to expand the company. I'm assuming that either means brands or potentially the acquisition of other dealerships. Can you talk about what you're seeing in the market in terms of availability for acquisition projects, and are you seeing attractive opportunities out there right now?
Michael McLamb: Greg, we are seeing that it hasn't really changed too much in the last year or two, or three, and that is there are other dealers that would love to be part of the MarineMax family and we are in discussions with them. As you know, our model is we pay based on historical earnings of a multiple, and the earnings have been negative or low for a lot of them. Even though they're good dealerships, in a lot of cases, they're not willing to accept nothing or pay us to take the dealerships. The good news is, is no one out there else is really competing, and so it's not like we're going to lose the opportunity going forward. But there are discussions with dealers right now. If it makes sense for the company, we'll execute on it like we did in Panama City up in the Panhandle this last year. But we're not going to overpay, and we're going to do our due diligence to make sure that we have a team there or we have a team ready to go in, because as you've heard us say 1,000 times, it's all about the people as much as the market.
Greg McKinley: Yeah.
William McGill: There are some potential additional brands - the brand expansion, they're brands that we currently carry. So, if you kind of look at our geographic footprint, we're pretty happy with the brands we have, but we don't have them in every market. We are in discussions with manufacturers about opportunities that may become available, which would make a lot of sense for us because then we leverage our cost structure that we already have invested in the brands, our marketing team, our products team, and stuff like that. Some of that we're continuing to investigate and work on as well, Greg.
Greg McKinley: Can you talk a little bit about your view on market share? My perception is, in the last year to year and a half, you've very consistently picked up share in the industry, if we look at boat title registrations, MarineMax sales and to always be growing at a healthier rate than what we're seeing in the industry. This quarter it felt maybe as more inline with the industry. You address some of that being maybe some timing issues around large boat sales. But I wonder if you could talk about how you felt your share performance held up in the quarter versus what you had done in recent quarters, and why any changes may have occurred?
Michael McLamb: If our intelligence - which is primarily from talking to manufacturers now because a lot of the data that's out there is what we call flash data, which means it's not mature.
Greg McKinley: Okay
Michael McLamb: But based on our intelligence of talking with different manufacturers, of brands we carry and brands we don't carry, we believe our share is continuing to, I use the word incrementally, expand. We did have unit growth in the quarter, albeit it was mid-single digit unit growth. When we looked at the data, (inaudible) report out, came out recently that shows Stern Drive and jet boats are up slightly. If you take jet boats out of there, I don't know, but I think the assumption that the data will come out that Stern Drives are probably down in the quarter.
Greg McKinley: Okay
Michael McLamb: How far down, I don't know, but if we're up, I would say that we're probably continuing to grow our share. One thing to keep in perspective is last year we had that massive growth of 33%, which we had a lot of units driving that and we did have some bigger boats driving that. This year our units are up, so we still sold that many units. I think if you go look at the industry's growth are actually they were down last June quarter. Then, you look at the growth are maybe about zero this quarter. I think our units are still significantly higher than what's happening overall for the industry.
Greg McKinley: Yeah. Okay. Thank you.
Michael McLamb: Thanks, Greg.
William McGill: Thank you, Greg.
Operator: (Operator instructions) It appears we have no further questions at this time.
William McGill: Thank you, everyone for your continued interest in supporting MarineMax. I'd also like to thank our team members for all their hard work and passion for our company and our customers. It's truly due to their efforts that we can call ourselves the leading boat retailer in the country. Mike and I are available today if you have any additional questions. Thank you.
Operator: Again, that does conclude today's presentation. We thank you for your participation.